Operator: Ladies and gentlemen, thank you for standing by. Welcome, and thank you for joining the DHL Group Conference Call. Please note that the call will be recorded. You can find the privacy notice on dhl.com. Throughout today’s presentation, all participants will be in a listen-only mode. The presentation will be followed by a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Martin Ziegenbalg, Head of Investor Relations. Please go ahead.
Martin Ziegenbalg: Thank you, and a warm welcome from my side. Good morning to you wherever you're following this. This is the Q1 '25 results presentation that I take it you have in front of you. As flagged, I'm going to have with me our Group CEO, Tobias Meyer, Group CFO, Melanie Kreis. We have the usual procedure. We will go through the deck. After that, there is time for Q&A. We are aware that there are other events going on in the sector today. So that should help us to go through what we have in a very focused manner. And with that, over to you, Tobias.
Tobias Meyer: Thank you, Martin. Good morning, everyone. Welcome to our Q1 call. On Page 2, you find the highlights. We believe we had a good start into the year 2025 in what remains an interesting environment. We had about 5% growth in earnings. We had slight growth in revenue as well, and we delivered, from our perspective, a pretty good free cash flow based on what you heard earlier from us that we also look carefully at cost and CapEx in this environment. Particularly, we had EBIT improvements in Express supply chain, supply chain in a very steady and consistent way that you have seen over many quarters now and also again with P&P Germany, which is a bit more due to the specifics of the quarter, given the elections we had in Germany and the stamp price increase ahead of wage increases in April. The macro environment overall has been in line with our expectations. It was quite subdued, obviously, induced volatility due to changing U.S. trade policies, which makes the day-to-day quite interesting. On a financial view for the quarter, it was actually quite a small impact, the operational occupation is much higher than the net impact that you see in earnings, and we also expect that and we'll talk about that going forward. We execute on our growth strategy. We announced further acquisitions, especially in the life science and health care space. We continue to follow what we said. We want to buy capability, not scale, and then leverage scale that capability across our network. It's not only the case in life science and health care, but also in the broad range of sub industries under new energy and obviously, our continued drive in e-commerce as well. But we also executed against our cost and CapEx levers as planned. Overall, happy with capacity management, especially in Express, that was another quarter well done on the operational side. So that was also supporting our results. The environment remains changing. You will follow that as well. On Page 3, you have a summary of some notable items in terms of the development of U.S. trade policy. It's important, and we obviously recognize it as well that even with some of those tariffs being either exempted or being put on hold for a certain time period. There is a notable increase in the effective U.S. tariff rate. There's obviously a lot of uncertainty, a lot of changes. We've seen further changes yesterday night announced as it relates to auto. That not only has impact on our customers' financial calculation, but it also has operational impact. We've seen this in February with the discontinuation of the de minimis for 4 days, which created quite some operational challenges. We also saw that with some of the executive orders based on IEEPA on Section 50 of the U.S. code that, that triggered what we believe was an unintended consequence to move quite a substantial number of clearances from informal to formal. So these are the practical implications that we see. For us, it's important that we continue to focus on quality deal with those industry-wide impacts in a transparent way so that we keep a good relationship with our customers. What we see on Page 4, and that's obviously on a bit higher conceptual basis. There are a lot of individual, sometimes quite complex, considerations that our customers have. But we summarize this here in six different type of behaviors that we observe. Quite strong is wait and see, especially on the industrial side, we see that customers just don't know whether things really come into effect and basically keep their current set up for the time being, while recognizing that if those tariffs would come into effect or stay in place, that would bring them into an economically disadvantageous situation, but there is still the belief with many of our customers also in the U.S. that this environment is going to evolve and move back to lower tariff levels as those negotiations, much talked about, unfold. So that's why wait and see is actually something that we see rather skeptical. It delays certain investment decisions, and we also see some weighing on consumer confidence. Adjustment of pricing, obviously, in space like e-commerce, an absolute necessity, but we've seen it also in automotive, in electronics. Post delivery is something that we do expect now in April, May to affect heavily e-commerce, especially the front-loading of deliveries, and that's coming to those effects that are rather positive for a logistics player like us, who has a strong global footprint and a disproportionately high market share in nondirect U.S. trade lanes that the front-loading of deliveries, especially in electronics took place, some later and different than we expected based on historical experience. Again, this shows that some players, some of our customers don't act before a deadline because they're not sure whether the policy stays in effect. But we've seen some front-loading and shifting of inventories and also, thereby, higher demand for airfreight for warehousing, especially in Asia. The structural shift of production also -- or the supplier footprint is starting. We do see that particularly Chinese manufacturers, who have overseas capacities as well. So production capacity in countries that are not impacted as much by U.S. tariffs that such production is considered and reconfigured for export to the U.S. and the markets, which are these plants originally served are then served by China export by the production capacity available in the home country of these Chinese companies. So this is starting, and that is obviously, for us, quite a positive element because this leads to more transport and more complex supply chains than the more efficient setup before. The shift in delivery mode and that also means the mode of entry into the country is something that is especially relevant for e-commerce. And we see that on the next page, on Page 5, that these are the additional services that we try to offer or collaborate on with our customers, particularly the Break Bulk Solution is something that is much discussed as a solution for some e-commerce imports. Now whether that really works in the way it's foreseen and what's the specifics that are required to make this an efficient and compliant import in the United States is to be seen. As we speak, there are pilots and ongoing discussions on some operational formalities and details with customs as often the case, with the implementation of such solutions. We obviously had Break Bulk all along. But here, it is also the question who's importer of record and what additional data is required for these products. We obviously have multiple dimensions of U.S. trade policies and related barriers that need to be considered. But we do indeed see that our broad portfolio of services, but also the geographic footprint is an advantage in this context. On Page 6, because we got the question what is our exposure to the Transpacific, particularly China, Hong Kong to the U.S. You see this quantified here. Those figures have historically been partially higher. You know and we have talked about in earlier calls that we reduced our exposure, especially as it relates to e-commerce on the transpacific already over the last year, especially in the TDI segment as well. This is also why the shipment number in the B2C space has been notably down for DHL Express now for some quarters and also in the first quarter of this year. So yes, we have some remaining exposure, as you would expect, to the Transpacific on the eastbound direction, but relative -- it is relatively small also if you compare it with some of our peers. What is important for us to highlight on Page 7 is that we continue to execute our strategic initiatives as we have communicated last September and did a deep dive that many of you attended in about 4 weeks ago, 5 weeks ago now. We continue to execute our strategy in life science and health care. We did one of those specialist acquisitions that we're looking for, capabilities that help us accelerate our progress in offering great solutions for our customers and that allow us to scale those capabilities in a rapid fashion globally. We are as DHL the global provider, and that's what we also want to achieve here. The main trade lanes is something that many can cover. We play our strengths as a global player also on those fringe lanes. And this is something that has helped us to maintain good profitability as well. We remain excited about some of those geographies that have intrinsically good characteristics, demographics, for instance, and therefore, poised for domestic growth in consumption, but also can and are benefiting from those geopolitical trends. We call this the GT20, the geographic tailwind countries of which we identified 20. Those have a specific focus for us to deliver great solutions and great service to those customers who diversify their manufacturing footprint, especially and seek to set up shop in those countries for distribution and manufacturing, and that's working out very well for us. And we also, as the third point, continue to invest largely organically into the e-commerce space and continue to do so. It is a sector that has provided us with good structural growth and will continue to do so for the decade to come. On Page 8, some examples only on Fit for Growth. This is obviously a very granular program with many, many initiatives, the deployment of technology in several areas to enhance efficiency, but also some specific focus on bread and butter topics, aviation net supply cost, for instance, declined by 7%. So you see here with those examples, this is obviously supporting earnings as well in this environment, which, again, from a macro perspective, is largely in line with what we expected. And with that, I hand it over to Melanie for some more specifics on the divisional performance.
Melanie Kreis: Yes. Thank you very much, Tobias, and good morning to all of you also from my side. So given how dynamic today's environment is, I could imagine that your interest today lies more than ever on the future rather than on past performance. But as this is the official Q1 call, let's still quickly talk about our Q1 performance, which you can see summarized for the 5 divisions on Page 9. Tobias already showed the traction we are getting on our Express cost measures, and I will talk about the Express performance and also about the Global Forwarding Freight development on separate slides in a minute, which is why I want to focus on Page 9 on the other 3 divisions. Starting with DHL Supply Chain, which I can sum up quite quickly. So another quarter with solid EBIT growth and nothing special needs to be mentioned. And from my perspective, this is as it should be for such a resilient structurally growing business. The supply chain Q1 financials reflect the smooth operating performance driven by our high-quality service offering and operational excellence agenda, including our automation and robotics road map as presented by Oscar at our CMD at the beginning of the month. In DHL eCommerce, we continue to see good organic top line growth at plus 6%, even in an environment of somewhat more cautious consumer spending. This top line growth drives EBITDA growth, which is, however, currently not translating into EBIT growth due to our ongoing investments exactly as expected for the current investment phase and as explained by Pablo in London. Turning to P&P. We were finally able, as you know, to increase prices on regulated mail at the beginning of the year. This will help to bring the full year EBIT back to the minimum requirement of about EUR 1 billion as reflected in our full year guidance. Technical remark, I want to point out that we had some changes in our product portfolio in Q1, which somewhat skews the reported year-over-year comparisons between mail and parcel. We have, therefore, added the like-for-like comparisons on to the P&P slide in the appendix. On the trading side, similar to DHL eCommerce, we see continued volume growth at higher pricing in Parcel Germany although on a somewhat slower than usual growth level, reflecting consumer uncertainty. Fundamentally, however, the e-com parcel growth story continues and the parcel pricing discipline, as explained by Nikola in London, is fully intact. Now turning to Page 10. Let's have a closer look at Express. In Q1, we once again turned an expected volume decline into a year-over-year increase in EBIT. And the question is, how did John's team do that? Key drivers are fundamentally the same ones we saw in our strong peak season performance last Q4. It's a combination of pricing, mix and cost management, leading to good capacity utilization. With the expected volume dynamic in Q1, we continued to drive higher weight per shipment, higher yields in terms of revenue per kilo, and we have managed our capacity so successfully that we were able to turn year-over-year lower volume into a year-over-year higher weight load factor, which I think is quite a remarkable achievement by the Express team. As Tobias explained, there are currently a lot of moving parts in global trade with quickly changing rules and procedures. That comes with operational challenges, but Express has clearly proven that we are well equipped to adapt. And as Tobias also showed, DHL Express is the most international network out there, and I think that is a good position to be in, in current circumstances. Now turning to forwarding freight on Page 11. The first observation from my side is that in light of the constantly changing news flow and speculations on trade policies, volume and yield trends in the core air and ocean freight businesses have actually been quite stable in Q1. Of course, since April 2, the weekly volatility in volumes across trade lanes has further increased and remains difficult to forecast. What is key to remember for DHL Forwarding is that we are a truly asset-light business and we have a highly diversified trade lane mix as shown before. So I can express, the absolute priority for Tim and his team is to support our customers in these volatile times. And we are convinced that this will ultimately also be supportive to our financial performance. Let me have a quick word on the EBIT decline at DHL Freight, which is, as you know, our road freight business predominantly in Europe. As you heard from others, the core industrial markets in Europe have been quite challenging. We are addressing this by optimizing our internal cost base, notably through an improved TMS. In Q1, we have seen worsening markets, combined with additional costs and distraction from the system rollout in the last major market, which is Germany. We are, therefore, not pleased with the freight performance in Q1, but we are convinced that we are working on the right remedies. That already takes me to my last page, to wrap it up from my slide -- my side, despite some challenges, we delivered a good Q1 both in terms of group EBIT as well as in terms of free cash flow generation that gets us off to a good start on course to our '25 targets. There's quite a bit of turbulence, but no real directional conclusions on the impact of trade and tariff volatility as laid out by Tobias, we hence today leave our '25 guidance fully unchanged. And the same goes for our midterm assumptions where we are absolutely convinced that we are executing on the right cost, CapEx and growth levers the Strategy 2030 as we explained in full length and divisional detail at our CMD. And with that, I hand it back to Tobias for the conclusion, and I'm looking forward to your questions afterwards.
Tobias Meyer: Yes. Thank you, Melanie. So I think you hear that we have had a good start into the year and that we also have good confidence over the remainder of the year with focusing on what we can control. We obviously recognize the volatility around us, but we see it in a balanced way. It truly produces some demands on our customers, especially, and also in our operations and we'll continue to be conservative and focus on profitability and cost control. But we're both going to execute on our strategic initiatives to accelerate growth and also see opportunity in this volatile environment by leveraging our global footprint and the breadth of our services for our customers' benefit to deal with the uncertainties that are caused by the trade policy of the United States and the response of other nations. So with that, I would turn it over to you for questions.
Martin Ziegenbalg: Excellent. Thank you, Tobias, Melanie. Operator, if you then start the Q&A section, please.
Operator: [Operator Instructions] Our first question comes from Alex Irving at Bernstein.
Alexander Irving: Two for me, please. First one is on the 2025 guide. Since you didn't change that, can we interpret this as being that April has tracked largely in line with plan at the ACS and the EBIT level? My second question is on DGFF. It looks on the volumes that you've lost share in forwarding. Why would that be and what are you doing to address it, please?
Tobias Meyer: Yes. Thank you, Alex, for those questions. The line was not very good. I hope it's better with other asking. So we hope we understood it in the correct way. So in terms of the 2025 guidance, we don't see a reason to change it. The overall development, as you rightly assumed, is in line with plan, we assumed a relatively weak macro for the year. We were transparent about that and the effects that the changes in trade policy have, which are certainly for certain customers and certain parts of the business, quite substantial. But if you look across the portfolio, we do continue to see pluses and minuses. And overall, in the first quarter that is clearly holding the balance, and we also expect that to be the case currently for the rest of the year. On airfreight, we see this largely as a sectorial topic. We have a different exposure, we talked about that earlier, to certain type of industries, e-commerce included, tech. And we do obviously recognize the numbers of competitors. And we also see quite a competitive and uncertain airfreight market currently. So there's a lot in flux. We don't see that we structurally lose share, but we also still have to see and analyze what our competitors publish. Obviously, we had Kuehne and DSV now this morning. So we're still looking at those figures and trying to fully understand them and compare them with our portfolio.
Martin Ziegenbalg: All right. Thanks, Alex, and continue with Alexia, please.
Operator: Our next question comes from Alexia Dogani at JPMorgan.
Alexia Dogani: Just two questions as well. So firstly, notwithstanding the comments you just made, Tobias, could you just give us some indication of what you're seeing in terms of bookings out of China currently or maybe in April? And what you see as the opportunity to reallocate some of the lost booked volume from other locations in Asia? And kind of subsequent to that, do you think, overall, given your low exposure to the China to U.S. trade lane, do you think the current situation can actually provide more opportunity than challenges in the current environment? So that's my first question. And then my second question is slightly similar on the 2025 EBIT guide. And I think when you introduced the Fit for Growth cost program, you indicated that most of the benefit will potentially come towards the end of the year. But today, the Express performance was quite strong supported by cost action. So maintaining the guidance and change, is it because you're seeing better cost capture faster that may offset some weakness in kind of current trends? Or how should we think about, yes, the cost versus revenue trade-off?
Tobias Meyer: Yes. Thank you, Alexia. You were also great to understand acoustically. So let me take the first question, and then Melanie will comment to the second. So by mode and by week, we have quite some fluctuations. And that's to be expected if you have that type of measures with the order of magnitude, discussed, announced, changed. The way I would describe the impact is four main elements that we see, two of them are negative and two are positive. We obviously do expect and also see some structural decline in the China-U.S. trade, as you would expect that there is some elasticity of demand as it relates to price. And even on the baseline tariff, as it's called, with 10%, that is still 4x higher the effective tariff rate that we had before and that will have some impact on the trade with the U.S. Now our exposure to that, as you rightly picked up, is less -- disproportionately less than in other trades and also disproportionately less than other competitors will have. There's a second element that causes some level of concern also when we look at April, but we don't see that as a trend for the rest of the year necessarily, which is this wait-and-see on the business side and also some weighing on consumer confidence. So that's also a negative. Now the positive is, and we've seen some, especially intra-Asia moves to reposition inventory, and yes, just deal with the day-to-day of those tariffs. So shifting to higher-value modes. There is some observation of that, and we would expect that to continue as these changes continue to happen. And again, we just had another change yesterday night. And then there is the fourth point, which is the reconfiguration of supply chains. And that has only just started. And we see increasingly customers thinking about this, that they have manufacturing capacity that currently doesn't serve the U.S. but is in a country that we currently expect to be in a favorable position as it relates to tariff and that production then being used for exports to the U.S. and the local market being served by production capacity in China that obviously also looks for employment. And that fourth element could indeed be quite positive because it significantly increases logistics cost. It leads to higher complexity, and that's in tendency, good for us. How those four factors, two positive and two negative, how that balances out for the rest of the year, we don't really know, but we see both the plus and the minus, and this is also why we didn't change the guidance.
Melanie Kreis: Yes. Taking the second question on the cost development. So we have two things happening here. The first one is Fit for Growth, which is our fundamental structural cost improvement program. And there, we said that we expect a relatively linear ramp-up over the next 2 years to the full run rate coming into effect towards the end of next year. That is supplemented by the typical flags we do with regard to volume and seasonality. And I think in the first quarter, we saw the first positive benefits of Fit for Growth, for example, in Express, but also in P&P. And on top of that, we saw what we had prepared on the volume flex side because, as already mentioned, the volume development in Express was not a surprise. So we have prepared for that. So Fit for Growth, delivering increasing benefits in combination with the typical volume, seasonal flex made Q1, from my perspective, a very good quarter on the cost side. I think that cost focus is top of priority for everybody, and you can nicely see it, for example, in the Express and in the P&P results.
Alexia Dogani: Can I just ask a follow-up on the wait-and-see approach that Tobias mentioned? Do you think there's a credible scenario that if things kind of materially deescalate on the level of tariffs that there is a bit of a bullwhip effect of your customers kind of suddenly reordering very quickly, whilst there has been some near-term capacity adjustments if I think about ocean freight blank sailings, if I think of Express taking some capacity out, just kind of your view on that potential scenario?
Tobias Meyer: So the wait and see is indeed on the short-term inventory management, but more importantly and more worrying, on investment decisions. I agree with you that if there would be a substantial easing or likely that if others are in a better position to judge, then you definitely would see flip back effects and then shortage of capacity. I think that's to be expected. Again, how likely that is, I'll leave to your judgment. The weighing on confidence is something that we believe will see for the coming weeks, whether that really then transpires for the second half of the year, I have my doubts. Historically, particularly on the consumer side, you see that these topics ease out after some weeks and consumers retain to normal buying behavior. Again, that's speculation about the future, but that's how we look at it currently.
Operator: Our next question comes from Cristian Nedelcu at UBS.
Cristian Nedelcu: Could I please ask a few questions on Express? Firstly, one of your competitors yesterday talked about the second quarter revenue declines and around 400 basis points of EBIT margin erosion in Q2. Your exposure on China-U.S. does not seem very different to theirs. So could you offer us any color on your expectations on Q2 Express? Secondly, remaining on Express. Could you please tell us what percentage of your Express imports into the U.S. are clearing customs under de minimis? And your chart is very helpful, but could you also tell us total U.S. inbound, what percentage of your Express volumes roughly, I think you alluded it's not that much, but if you could offer us some numbers? And the last one, if I may. We've seen the -- in Express, the dedicated freighter capacity and block hours, I think, down 4%, 5% for a while now. I think you started around the middle of last year, if I remember well. Starting the 1st of May, could you tell us a little bit how you're thinking about capacity in Express? How much is the -- how is that developing year-over-year?
Melanie Kreis: Okay. So Cristian, with regard to the first question, Q2 guidance, yes, we also saw what a competitor released in terms of Q2 guidance yesterday. We don't give a quarterly guidance, and we stick to that practice. I think there are lots of moving parts. We are confident on the full year guidance, and we have to see how Q2 really plays out. In terms of, as second question, Express exposure to de minimis. So I think we wanted to give you, with the slide we included a bit of a feeling for our exposure in Express TDI to the China, Hong Kong trade lane into the U.S. We have a mix there between B2B, B2C and including a de minimis portion. We're not going to go into more details on the numbers side. I think the important thing here is that we have already reduced our exposure. We talked in the course of last year about the pricing measures we took on Chinese e-com, which led to a reduction in volume. So it will have an impact, but I think we are in a comfortable position and know how to manage that.
Tobias Meyer: Maybe further on the e-commerce. So it's important to note that especially on the weight side, the dominant part is B2B. So as it relates to aircraft movements, the B2C side, as Melanie also described doesn't have that big impact. The other element and what's to be seen is whether the de minimis volume goes into Break Bulk type of solutions that is clearly the intent of many shippers to continue to be able to offer the products. Now there is a whole variety, as we know, of executive orders out there and different hurdles to trade and whether those solutions are applicable for our customers. We don't know yet, it's yet to be seen, but we do not expect a complete wipe out of that de minimus volume. This volume will, to some extent, find other channels. We need to remind ourselves that a lot of those products are not manufactured in the U.S. And even if they're manufactured, that capacity would not be -- would not suffice to serve that relatively large market. So that's our expectations. There will certainly be a decline on the e-commerce side, but we do expect other solutions to also take up a certain amount of volume.
Martin Ziegenbalg: Okay. Yes, let's continue with Patrick then.
Operator: Our next question comes from Patrick Creuset at Goldman Sachs.
Patrick Creuse: Congrats on the Q1 performance. Just two questions on Express. The first is can you talk a little bit about the weight per shipment trends that you see in Q1, but also to the extent you can go into Q2, I mean, you alluded to some customers shifting to higher value modes of transport. That's the first. Second, you've talked about your limited China-U.S. exposure but I think you have very strong market positions in Southeast Asia. To the extent you can, can you quantify some of this? I mean some of the market shares you have there, your percent of your network, percent of the Asia network, trends you're currently seeing. And big picture, to what extent essentially strength in Southeast Asia offsets the sudden stop in China-U.S. trade?
Melanie Kreis: Yes. So thank you, Patrick, on the weight per shipment, I mean, that is more of a continuation of the trend we have already seen in the last quarters, where we have successfully targeted attractive business with regard to good pricing on the right rate brackets. And of course, we also see the mix element here that the B2B volume development is more stable than the B2C decline, which, of course, also has an impact on the weight per shipment. With regard to our Southeast Asia exposure, so we have a fantastic market position in all of the Southeast Asian countries with Express. We are the clear market leader in all of these markets and are hence in a fantastic position to benefit from the dynamic there. Overall, naturally, that those markets, also in combination, are still substantially smaller than the production capacity you have in China and Hong Kong and hence also, the outbound flows are still at a smaller level.
Tobias Meyer: And if I may add, Patrick, what's important to note is the Annexure 2 to the Executive Order, I think it was 14257. which has the exemption list that has a lot of electronics, that has a lot of stuff that is relevant for the Express and also the airfreight market. So I think that's important to keep in mind as well because you said the China-U.S. trade stopped, that exemption list is of relevance as it relates to the total flows as well.
Patrick Creuse: Okay. Just a quick follow-up, if I may, just on the weight trends. Do you see those underlying dynamics continuing post Q1?
Tobias Meyer: Well, I mean the average of Express is obviously also influenced by the share of B2B, B2C, B2C being substantially lower in weight per shipment. So if that plays out, then we see more also B2C going as a B2B2C. So Break Bulk Solution or similar things, you would see a significant impact of the overall getting heavier. That also then depends how we report Break Bulk, for instance. So in tendency, we would see that whether that trend really is an important one for the rest of the year is to be seen.
Martin Ziegenbalg: Thanks, Patrick, and let's continue with Cedar, please.
Operator: Our next question comes from Cedar Ekblom at Morgan Stanley.
Cedar Ekblom: Can you guys hear me?
Operator: Yes.
Cedar Ekblom: Perfect. Right. I just wanted to shift to the freight forwarding business. It was an area of weakness in the first quarter and it really look down to the cost element and also that land freight business. Can you talk a little bit more about how we should think about tailwind from cost improvement as we move through the rest of the year? How should we think about the evolution of the conversion margin in that business, which took quite a big hit in Q1? So will we be thinking about conversion margins being meaningfully down on a full year basis? Or is there a scope to recover some of that weak start at the beginning of the year?
Tobias Meyer: So I think -- if I start with that, Melanie might add. You clearly need to separate the land freight topic from the air and ocean freight topic. And obviously, we've also seen very different dynamics there between airfreight and ocean freight. On the land freight side, we're clearly not satisfied. The European market currently, you also have seen this with our competitors, is really weak. There's demand weakness, which causes high competitiveness. We also had some extra costs. We are finalizing the largest country, the transition of the system that clearly hasn't helped in the quarter either with some additional costs that we'll get rid of. But we also see the structural challenges in the European land freight market, and we'll spend time on this to improve our position there, which clearly is unsatisfactory in Q1. The airfreight dynamics we have already discussed is also something where we obviously see that relative to competition, the first quarter doesn't look good. We need to understand that in more detail. We see higher competitiveness. We talked about the uncertainty, also due to uncertainty about the employment of those aircraft currently in the e-commerce trade out of China that is clearly something that is also on the mind of some customers. So that -- I think there were good questions and we made some comments about the positives and negatives, how this could evolve going forward. On the ocean freight side, we are quite satisfied. Generally as it relates to DGF, we see ourselves on a good path of productivity enhancement, good quality. So structurally, that is well underway.
Martin Ziegenbalg: Thanks, Cedar. And I think next in line is Andy Chu.
Operator: Our next question will come from Andy Chu from Deutsche Bank.
Andy Chu: Just one question for me, probably for Melanie. So profits are up, but the CapEx is down and the guidance is maintained. In sort of past periods when there has been uncertainty, the sort of CapEx has been sort of cut to protect free cash flow. So it feels to me there's a little bit of a sort of conflicting signal between actually the business is doing pretty well in a tough environment at the profit level but CapEx is going the other way. Maybe you could just comment on that, please.
Melanie Kreis: Yes. Thank you, Andy. So I think as always in that area, we are taking a balanced approach. So we are clearly not starving the business of CapEx needed for future growth. But across all divisions, we see a good cost and CapEx discipline, which is exactly the way it should be. So I think for me, in the current environment, it's the right balance. And as we have shown in the past, we're really able to flex here. So if things pick up, we can also speed up again. If things remain subdued, we will keep the cautious approach.
Tobias Meyer: And I think if I may add, Andy, we talked about that also. We had a big catch-up, especially in Express. If you look at our European infrastructure, we spent a lot of money there over the last years to upgrade it to enhance capacity, and we just don't need that currently. We have good capacity, and we have state-of-the-art infrastructure. So that's important to keep in mind as well. We can assure you that we are very keen to continue to invest in those growth areas and you've seen this on the M&A side, but also on the organic side, we do continue to invest in those growth opportunities.
Andy Chu: That's helpful. Maybe just one just quick follow-up on the guidance. And Melanie, although you gave formal guidance in previous quarters, particularly last year, you did give an indication for quarterly group EBIT, which typically was around about EUR 1.3 billion for the first 3 quarters of last year. Is there any sort of help you can give us this time around, any indication of how we might think about modeling Q2 in a very volatile environment?
Tobias Meyer: Thinking, looking at historical patterns, is never a bad idea. And factoring in, obviously, from a day-to-day basis, what we see that's -- I think there's not much more we can say to that, Andy.
Martin Ziegenbalg: Thanks, Andy, and let's continue with Muneeba, please.
Operator: Our next question comes from Muneeba Kayani with Bank of America.
Martin Ziegenbalg: I can't hear you.
Muneeba Kayani: Can you hear me now?
Martin Ziegenbalg: There you are.
Muneeba Kayani: Okay. Great. So firstly, on Express and kind of a bit of a follow-up to the earlier questions around what we heard from your competitor yesterday on their international business. They talked about a kind of lower demand related surcharges in 2Q. Can you explain to us kind of how your demand surcharges have worked in Express? I don't think you have one currently and also how you would think about those through the course of this year, understanding all the volatility and uncertainty that you have talked about. And then second question, we've heard from a couple of companies and industry sources that China, U.S. volumes are down something like 30% or more, but that's being offset by increase in volumes in other trade lanes. Would you agree with that? Is that what you're seeing across your Express and Forwarding businesses?
Tobias Meyer: Thank you, Muneeba. So on the surcharges, we did not implement a surcharge ahead of those deadlines out of China in particular. We didn't see that as adequate in the current environment where also due to the customs situation in the U.S., for instance, there were service delays across the industry. So we want to take a balanced approach and charge where there is a peak and where there is quality in the peak and not do it arbitrarily, we still believe that's the right way and the fair treatment of our customers. As it relates to the demand surcharge for the seasonal peak that's to be seen. We currently do expect such a peak. So we do not see yet or wouldn't expect that we would not have a normal seasonal pattern particularly as we look towards Q4.
Melanie Kreis: Yes. So to be clear, we had our demand surcharge, which was a peak season or goes into effect from mid-September till end of January. It was phased out as indicated, and we haven't done anything since. In terms of China, U.S. volumes, yes, they are down in terms of is that fully compensated from growth somewhere else, I would expect that it won't be fully compensated, but it's really very volatile and a moving target.
Martin Ziegenbalg: Thanks, Muneeba. And Marco Limite is next in line.
Operator: Our next question comes from Marco Limite.
Marco Limite: So first question I've got, so you have mentioned before that you're seeing a shift to higher value model transport. But one of your competitors, yes, they was actually mentioning that there will be a shift from air to sea, so opposite direction. So yes, just if you could give a bit of color on that. And second question is on your follow-up on the road freight business. When do we expect that to say turn around? Or how long we should expect, let's say, negative EBIT? And what are the expectations for the year? And third question is on Express capacity management as well. So you have improved the utilization of your capacity in Express. One, is that the stated target for the remaining part of the year and how easy is to do that in the current environment, which obviously is more volatile than Q1?
Tobias Meyer: Okay. Then starting on your first question in terms of model shift. Obviously, there's been a situation where customers will say different things. If you have something that is steady, you aim for optimizing inventory cost versus transportation cost and generally then would like to downgrade to a lower-cost transportation, particularly air to sea. What we were referring to is if there is volatility, if there are deadlines looming, then there's obviously a different consideration. And that's what we have been seeing and do expect in this environment of changing elements, changing regulation with substantial financial impacts to our customers that, that pressures volume into higher quality, faster modes of transportation. That is what we have seen historically over many decades and that's what we would also would see in this situation. So if you expect smooth, constant type of environment, cost pressure, you see this in automotive again and again moves from air to sea. If you see volatility you will see a higher share of airfreight and also Express. I think that's the way to bridge these two statements. In terms of the road freight, we do expect it to get better, but it is also market dependent. And there, we don't expect miracles. So there is work for us to be done. We also need to see how the European economy goes. So again, we do expect the run rate to get better, but we also have a dependency here on market developments.
Melanie Kreis: And then on the Express capacity flex. So as we have now shown over many quarters, we are in a position where we can flex down. I think also maybe coming back to Alexia's earlier question, could there be also a situation where we all of a sudden have to flex up, we are able to do that as well as we also showed during the pandemic. I think the big strength here is our virtual aviation network, where we have this great mix between owned aircraft, long-term leases, short-term leases. We operate with different partners. So we feel well positioned to deal with whatever scenario now unfolds.
Martin Ziegenbalg: All right. Good. Thank you. We're approaching the full hour. Still two callers that I can see. Let's continue with Marc.
Operator: Our next question comes from Marc Zeck with Kepler Chevreaux.
Marc Zeck: Just a couple really left for me. You talked about extra costs in road freight forwarding in Germany due to system transition. Can you quantify this cost? Then a similar question for actually the letter business in Germany. Can you quantify what was the EBIT boost from the election, if there was any? And third question really on de minimis. I would expect that you got some boots on the ground that talk with U.S. customs. Do you feel that U.S. customs this time around is better prepared to handle the changes to the de minimis unlike like 2 months ago or so where they were utterly unprepared? That's from my side.
Melanie Kreis: Yes. So let me start with the first one, the extra cost on the road side. Yes. So we have over the last years rolled out the new transport management system for freight. We went live in Germany as the last big country, that led to extra cost. And I would say that this is actually the main reason why we are in the red. So otherwise, it would probably have been more around the breakeven line. In terms of letter business boost, yes, we were not going to quantify it, but you can see that in Q1, also when you look at the like-for-like numbers, we had a better mail volume decline than we have seen over the past quarters. And here, obviously, the elections played an important role.
Tobias Meyer: On the U.S. custom side, yes, I think people are better prepared, whether it's efficiently well prepared is a different question. And to be honest, there is still a lot to be worked through. It's also for that organization, the Customs and Border Patrol, obviously, a time of high workload. And as you know, there are quite a number of factors at play. This is not only the de minimis. We have seen the shift from informal into foreign clearances. Now the exemption there, again, to reinstate the scope of informal clearances. That also covers some of our and the industry's concern as it relates to de minimis shipments not falling directly into formal clearances because that impact is much, much more severe, especially when we don't have robust Break Bulk Solutions. So it is a whole set of legal bricks here in play. And if one really doesn't fit on the other, it's a problem for the entire structure that we want to build here. So there is some uncertainty and concern around that. It's definitely operationally not boring. So we have to see how this comes together. We're not, as you hear, not that much concerned. Some of that might actually be good for us because it shifts volume into channels where we have a good value proposition and a stronger presence than the traditional challenges. And so even if overall volume is expected to go down as it relates to e-commerce into the U.S. on the China-U.S. lane in particular, how much of that comes our way very much depends on these moving factors.
Martin Ziegenbalg: Still one caller.
Operator: Our last question comes from Oliver Holmes at Redburn.
Oliver Holmes: Just a quick one. I was just wondering if the current volatility is potentially delaying execution on your 1 billion plus cost out program? I know there were some good stats that you provided, but is there any risk that the volatility is impacting that?
Melanie Kreis: The clear answer is no.
Martin Ziegenbalg: No, it's related to that. And I also feel very blessed that our management team so far has been able to execute the day-to-day the structural cost improvement, but also -- and in that sense, we are not quite satisfied with the first quarter. It could have been a notch more in terms of growth. So -- but we're also working on that, and we'll continue to do so.
Operator: Our last question comes from Michael Aspinall at Jefferies.
Melanie Kreis: We heard you very briefly.
Martin Ziegenbalg: It seems to be a poor line.
Michael Aspinall: Sorry for that. Just sneaking a couple of quick ones in. I mean, hopefully you pointed out some of those services you can provide to your customers. Can you give us a quantum of order of magnitude in terms of how big those products and services like bonded warehouses or Break Bulk Express are currently? And just if you have capacity or the capability to increase those services materially?
Tobias Meyer: I think we can't quantify that. This is a lot of different stuff in a lot of different countries that ranges from free trade zone warehouses to things that are customer specific worked out with customs. So it is significant, but we can't quantify that.
Melanie Kreis: And it's quite often always a part of the integrated offering and baked into the pricing. So it is definitely a strength we can build on. It is already sizable and a good growth opportunity.
Michael Aspinall: It's helpful. You would have the capability to increase services in line with demand if required?
Tobias Meyer: Yes.
Michael Aspinall: Okay. And then one, you may not be able to provide maybe more color on this but I'm just thinking again about the kind of U.S. in terms of CDI. Do you have a sense as to how much or what kind of proportion of those shipments you need to ship to other destinations of both countries? I'm just trying to get a sense of how critical those deliveries or components are for your customers to continue to get, for example.
Tobias Meyer: Well, again, the list on the annexure shows that there is mutual dependency, and you will also be aware that in China, the criticality of some imports from the U.S. has been discussed on different levels. So I think both nations recognize the criticality of certain supply chains working, spare parts for aircraft, medical equipment, pharmaceuticals, electronics that have in the quantity the U.S. needs no other source than that involving China as well. And we have already quite a notable list of exemptions and special treatments. How this unfolds depends on whether this escalates further or we see, which currently seems to be the mood, some level of de-escalation as well. We don't want to speculate about that. I think we have the flexibility, Melanie laid that out, in terms of shifting capacity. So we will feel well prepared as well as we can for these different scenarios. We see significant proof in the developments of the last weeks that global trade is quite essential in its benefits and there's increasing realization of that. What effects this will have, time will tell.
Martin Ziegenbalg: Well, that almost served as closing remarks, I guess, and I want to close the Q&A session now with that. Thank you for your very focused approach, looking forward to see you at conferences and road shows over the next couple of weeks and wishing you a good rest of the day and rushing on now to the next call. Thank you.
Tobias Meyer: Thank you. All the best.
Melanie Kreis: Thanks.
Operator: This concludes today's call. Thank you, everyone, for joining. You may now disconnect.